Operator: Good day, and thank you for standing by. Welcome to the UGI Corporation Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I'd now like to hand the conference over to Tameka Morris, Vice President of Investor Relations and ESG. Please go ahead.
Tameka Morris: Good morning, everyone. Thank you for joining our fiscal 2025 fourth quarter earnings call. With me today are Bob Flexon, President and CEO; Sean O'Brien, CFO, and Mike Sharp, President of AmeriGas Propane. On today's call, we will review our fiscal '25 financial results and key accomplishments as well as the strategic priorities and financial outlook for fiscal '26 before concluding with a question-and-answer session. Before we begin, let me remind you that our comments today include certain forward-looking statements, which management believes to be reasonable as of today's date only. Actual results may differ significantly because of risks and uncertainties that are difficult to predict. Please read our earnings release and our annual report for an extensive list of factors that could affect results. We assume no duty to update or revise forward-looking statements to reflect events or circumstances that are different from expectations. We will also describe our business using certain non-GAAP financial measures. Reconciliations of these measures to the comparable GAAP measures are available within our presentation. And with that, I'll turn the call over to Bob.
Robert Flexon: Thanks, Tameka, and good morning. UGI delivered record adjusted earnings per share of $3.32 through strong execution across multiple fronts, surpassing our revised guidance range of $3 to $3.15. Continued improvements at AmeriGas, which led to its higher EBIT, coupled with solid operational performance from our utility segment and significant tax benefits drove these exceptional results. We strengthened our balance sheet. We generated approximately $530 million of free cash flow, inclusive of cash generated from asset sales of selected LPG territories and return value to shareholders through dividend payments. Within our natural gas businesses, we successfully upgraded critical pipeline infrastructure and completed several new LNG and renewable natural gas facilities. These investments not only enhance our system integrity, but also expand our revenue-generating capabilities for future growth. At AmeriGas, we continue to make great strides in streamlining and transforming key business processes, better positioning the company for the upcoming winter. At UGI International, we successfully advanced our portfolio optimization strategy. This will allow us to more effectively utilize our resources on core customer segments where we can have competitive advantage and achieve superior returns. Most importantly, I am proud that we have begun to transform our organizational capabilities by investing in our people and fostering a performance-driven culture focused on driving extraordinary outcomes. This cultural evolution defines the way we work and is a critical driver of continued success. Building on this strong foundation, we are raising our long-term EPS growth expectations with a new EPS compound annual growth rate target of 5% to 7%. This increase underscores the multitude of intrinsic opportunities and our confidence in executing on our strategic vision. During fiscal 2025, we delivered on the strategic priorities we set at the beginning of the year. We are transforming the culture of UGI and embedding greater accountability and operational discipline across our teams and businesses. This is improving our competitive advantage to accelerate and realize success going forward. Our portfolio optimization initiatives were successful. We achieved approximately $150 million from LPG divestitures, excluding the impact of divesting the Austrian business, which is expected to close before the end of this calendar year. This year, we deployed roughly $900 million of capital, primarily in the natural gas businesses. At the utilities, we invested approximately $560 million largely towards replacing and upgrading our gas distribution infrastructure, including replacing nearly 130 miles of pipeline. At AmeriGas, while the operational transformation is ongoing, we're seeing meaningful results that Mike will speak to shortly. Notably, this fiscal year, we achieved a 30% reduction in recordable incidents which not only inspires the safety environment but benefits the business. We have deployed stringent project management discipline to drive more efficient business processes through analysis and redesign while increasing technological adoption, including AI throughout the organization, beginning with AmeriGas. Ultimately, these initiatives are strengthening our overall financial profile better positioning the company to deliver long-term shareholder value, which leads me to our strategic vision. Our vision is to create sustainable shareholder value by driving operational excellence throughout our businesses. There are many opportunities to unlock intrinsic value throughout our portfolio. AmeriGas is at the forefront of this strategic evolution. The team has already made substantial progress in transforming operations that will cement AmeriGas as the premier propane company in the U.S., one that optimizes and takes advantage of our distribution network and establishes a business that is safe, reliable and highly efficient. At UGI International, we will maintain strong operational discipline while positioning LPG as a viable alternative to fuel oil. The strategic and operational transformations underway in our global LPG businesses will generate increased cash flows and provide greater flexibility for future capital allocation. Our natural gas businesses operate in a dynamic environment, and are well positioned to capitalize on the significant energy expansion happening, particularly in Pennsylvania. With the prolific investment coming into the region, we are capitalizing on the opportunities whether through increased throughput for our utilities business or incremental opportunities for our midstream assets. All of these operational pillars are underpinned by our commitment to strengthen our balance sheet. Now I'll hand the call over to Mike to provide you with an update on the progress and efforts we are making at AmeriGas.
Michael Sharp: Thanks, Bob, and good morning, everyone. I'm excited to speak with you today about the actions we are taking at AmeriGas. As can be seen on the slide, there are 5 strategic pillars, which guide everything we do. First, our stand is that everyone and everything is always safe. We are committed to maintaining a zero harm culture across operations because nothing is more important than ensuring everyone goes on safely each day. Our customers are at the heart of our strategy. We are building deeper relationships with our customers through reliable performance and improved customer service quality. We are driving efficiency through business process improvements as well as optimizing existing and employing new technology. Our success depends on our people and we are investing in known. We are fostering an engaged culture that empowers our employees and encourages transparency, innovation and ownership at every level. Finally, we are exercising financial discipline to enable investment in organic growth while delivering consistent value to our shareholders. These 5 pillars work together to position AmeriGas for sustainable success. Over the past several months, you've heard Bob speak about the fact that we are focused on fundamentally transforming our operations and customer experience. This starts with our customer value and retention work stream where we are working to improve satisfaction and retention by looking at who we serve and how we may better serve them. As part of these efforts, we have segmented our customer base to better understand each group's unique characteristics and needs. This allows us to tailor our service and pricing more effectively while staying true to our stand that every customer matters. As an example, after performing a customer profitability assessment, we decided to exit the wholesale business that represented roughly 11% of our total volumes, but was largely a breakeven business. This decision streamlines our system and removes operational clutter, allowing us to focus squarely on profitable volumes. Ultimately, our goal is to improve customer retention and growth while ensuring that our resources and infrastructure are deployed where they create the most value. Next is a supply and logistics work stream where our goal is to leverage our size and get the best value in our propane supply, allowing us to offer more competitive prices to our customers while ensuring reliable service. We've made great strides in this area and strengthen the team with individuals who have additional commercial expertise. We have enhanced our forecasting analytics, reassessed the number of our suppliers and strengthen our contracting process. We have optimized our supply points and storage locations. We have also improved our hedging practices to provide greater price stability for our customers. In October, we rolled out a new routing and delivery process to reduce inefficiencies and increase reliability for our customers. Our initial pilots demonstrated that we can achieve approximately 10% savings in fuel costs through this approach. By optimizing our scheduling and route planning, we will operate more efficiently and achieve a lower cost to serve our customers. Through dynamic routing, adjusting our schedule period and enhancing use of our existing technology, we have realized broader efficiency gains we intend to capture, including fuel savings. Next, we are working to improve both response quality and customer connection in our call center operations. We are in the process of reshoring our call centers to the United States. Today, we are 40% to 50% complete with that process, and we'll have a hybrid approach as winner to ensure a smooth transition. We've also invested in training and leveraging new technology, including AI to provide better service for our customers. Finally, we are simplifying our billing process to improve clarity and accuracy, which will ultimately reduce cost center volume and free our teams to handle more complex customer needs. All of these operational improvements support our return to growth by strengthening our foundation, we expect to retain existing customers. In addition, we are creating a platform to achieve continued growth through organic customer additions. This strategy is already delivering results with 17% EBIT growth this year, and more importantly, we are expecting sustained year-over-year EBIT growth in the coming years. Each improvement we make builds on the others creating a compounding effect that will drive sustainable, profitable growth. And with that, I'll hand the call over to Sean.
Sean O’Brien: Thanks, Mike, and good morning. First, let me highlight our strong financial performance for the year. UGI delivered impressive results in fiscal 2025 with adjusted diluted EPS of $3.32, $0.26 higher than the prior year. This achievement was largely driven by increased contribution from the AmeriGas and midstream and marketing segments, partially offset by reduced EPS at UGI International. AmeriGas generated strong results with EPS of $0.27 due to operational momentum and income tax benefits. The segment achieved a $24 million increase in EBIT while also benefiting from the effect of the 1 Big Beautiful Bill Act, which restored interest expense deductibility. Midstream and Marketing was up $0.12, largely due to a $66 million increase in investment tax credits associated with the RNG facilities placed into service this year, which offset the impact of lower midstream margins. UGI International declined by $0.12 due to higher income tax expense and lower margin contribution from the business. Turning to the key drivers for each reportable segment. Our regulated utilities reported record EBIT of $403 million, up $3 million over the prior year, largely due to higher total margin offset by increased operating and administrative expenses as well as higher depreciation expenses. Total margin increased $39 million, reflecting the 10% increase in core market volumes stemming from the colder than prior year weather, higher gas base rates in West Virginia and continued customer growth. During the year, the utility segment added over 11,500 residential heating and commercial customers, increasing our customer base to roughly 967,000 customers in Pennsylvania, West Virginia and Maryland. Operating and administrative expenses increased $25 million, reflecting, among other things, higher personnel expenses, general insurance costs and maintenance expenses. In our Midstream & Marketing segment, EBIT was $293 million, down $20 million versus the prior year, largely due to lower margin and reduced income from equity method investments. Total margin decreased $11 million as lower margins from natural gas gathering and processing operations as well as the 2024 divestiture of our power generation asset, Hunlock Creek, were partially offset by increased margins from gas marketing activities. Turning to the global LPG businesses. UGI International reported $314 million of EBIT, $9 million below the prior year as reduced margin and lower realized gain on foreign currency exchange contracts was partially offset by lower operating and administrative expenses. LPG volumes were down 4% from the effects of continued structural conservation and the absence of certain customers who previously converted from natural gas to LPG. These declines were partially offset by the effects of colder weather and higher crop drying campaigns. The effect of this volume decline was partially offset by higher LPG unit margins and the translation effects of stronger foreign currencies, leading to a $38 million decline in total margin. Operating and administrative expenses decreased $35 million, primarily due to lower personnel-related distribution, maintenance and uncollectible account expenses as well as from the exit of the energy marketing business. These decreases were partially offset by the translation effects of the stronger foreign currency. Lastly, at AmeriGas, the business reported EBIT of $166 million, $24 million or 17% above the prior year. LPG volumes were largely consistent year-over-year as the effect of customer attrition was offset by the effect of colder than prior year weather. Total margin increased by $10 million due to higher LPG unit margins, partially offset by lower fee income and slightly lower retail volumes sold. Operating and administrative expenses decreased $9 million, reflecting, among other things, lower uncollectible account and vehicle fuel costs. In summary, fiscal 2025 was a strong year marked by solid execution across the business. We delivered a 42% total shareholder return and year-over-year growth in adjusted diluted EPS reflecting the strength of our operating strategy. Our cash generation was robust, exceeding $500 million in free cash flow, which enabled us to return approximately $320 million to shareholders through dividends while strengthening our balance sheet. We ended the year with leverage at 3.9x for UGI Corporation and 4.9x at AmeriGas, the result of disciplined debt reduction combined with improved top line performance. Additionally, we deployed approximately $900 million of capital, primarily in our natural gas business, positioning us for future earnings growth. Our performance through the year underscores the durability of our business model, and we look to build momentum in the coming year. Yesterday, we announced our fiscal 2026 guidance range for adjusted diluted EPS of $2.85 to $3.15, which assumes normal weather based on the 10-year average as well as the current tax environment. This guidance range demonstrates our continued growth trajectory with an expected 5% to 7% increase in reportable segment EBIT on a year-over-year basis. Our core business fundamentals remain strong, and we are well positioned to deliver solid operational performance. While we anticipate higher interest expense and normalization of our effective tax rate, largely due to the absence of approximately $0.40 of investment tax credits received in fiscal 2025. We expect to deliver strong top line growth, positioning the company for long-term success. Looking at each segment specifically, in our regulated utilities, higher gas base rates went into effect this month and we anticipate similar trends in customer growth as we saw in fiscal 2025. At the Midstream and Marketing segment, we expect continued earnings growth in the business, which is underpinned by margins that are highly fee-based and with limited commodity exposure. At AmeriGas, we expect to realize year-over-year growth in both retail volume and EBIT due to the operational transformation underway. Lastly, UGI International is expected to be fairly in line with the current year as strong margin management and organic growth initiatives offset the impact of continued structural conservation. Looking ahead to our fiscal 2026 to 2029 plan. We are targeting an EPS compound annual growth rate of 5% to 7%, which is supported by a robust capital investment program of $4.5 billion to $4.9 billion. These investments support strategic growth opportunities and actions to modernize our infrastructure, enhance system reliability, and position us for long-term success across our portfolio. We continue to project a rate base growth of 9% or higher, which demonstrates the significant regulated utility investments opportunities we see ahead. This strong rate base expansion will provide increasingly predictable earnings and cash flows, further strengthening our business. From a balance sheet perspective, we remain committed to maintaining financial discipline. We are targeting a leverage ratio at or below 3.75x at UGI Corporation, while our AmeriGas business will operate at or below 4.0x leverage. These targets ensure we maintain the appropriate degree of financial flexibility in order to take advantage of attractive investment opportunities. Taken together, these metrics reflect a clear path forward. One more disciplined capital deployment, operational excellence and prudent financial management are the driving force to consistently create value. We are committed to executing our strategy, and these targets represent our commitment to you, our shareholders, for sustainable long-term growth. And now I'll hand it back to Bob.
Robert Flexon: Before we open the line for your questions, I want to reinforce 3 critical takeaways that demonstrate the strength of our current position and our trajectory going forward. First, this year, we delivered record adjusted diluted earnings backed by a stronger balance sheet and enhanced liquidity position. This improved earnings profile represents the fundamental strengthening of our financial foundation that positions us for sustained success. Second, the operational and financial improvements underway at AmeriGas and expanding throughout the company are showing meaningful results and will continue to drive year-over-year organic growth well into the future. Finally, our focused approach to talent management and development along with our structured framework for driving operational change is transforming our culture as to how we operate as a business. These initiatives will work together to unlock the intrinsic value within our portfolio as we strive to deliver positive energy every day. Thank you for your time with us today, and we will open the line for questions.
Operator: [Operator Instructions] Our first question comes from Gabriel Moreen with Mizuho.
Gabriel Moreen: Just if I could just ask may be in terms of -- if I can ask maybe on the guidance, you gave some assumptions for what you're looking for next year out of some of your segments. It seems like the utility growth is awfully transparent over the next couple of years given the rate base growth. But can you talk about what you're expecting from midstream in the LPG businesses in the 5-year plan? Should we expect continued growth out of those businesses and just your expectations there a little bit more?
Robert Flexon: Sure, Gabe. So over that planning horizon, we expect to have growth in all of the business lines overall. So we'll see low double-digit growth over that planning period. So we expect to have a continued growth rate in the businesses and our earnings over that planning horizon.
Sean O’Brien: A couple of things Gabe as well. When you look at EBIT, we gave the 5% to 7% EBIT growth for this year. I want to make sure people understand that guidance is not back-end loaded. We've got consistent fairly linear growth as you go from '26, '27 to '28 into '29. And as Bob said, the nat gas businesses is more of the same. We've got that kind of locked and loaded. But one of the more exciting things is we do -- we feel very confident we've got a good outlook on the LPG side as well. Specifically, AmeriGas, we're seeing some very consistent growth in that plan over the years coming from that business line as well.
Gabriel Moreen: If I could maybe follow up on the natural gas side of things. Last quarter, Bob, you mentioned all the NDAs that you had signed around some of the activity happening in your backyard maybe if you can get an update on that. And then anything, I guess, data center adjacent that might be embedded within your midstream growth plan or utility growth plan over that outlook?
Robert Flexon: Yes, we still continue to see a lot of activity even more so than when we last spoke about it. We've advanced some of the projects with some interested parties. We have NDA so we can't necessarily go into it. But again, the amount of NDAs that we have with counterparties is north of 50. I mean, we've got significant discussions underway and in various stages with the various counterparties. So these things take time, but we are definitely keenly focused on it and looking to be part of all the growth that we're expected to see in Pennsylvania.
Gabriel Moreen: And then if I could just squeeze 1 last one in. I think there were some media reports about potentially putting your electric utility on the market. Just wondering if you could maybe comment on that and also within the role of just larger expectations around continued portfolio optimization either at utility, midstream or LPG businesses.
Robert Flexon: As you know, Gabe, we take a look at our portfolio all the time. We did a lot of that this past year on the LPG side of the business to see. Where do we have particular assets or opportunities to see there's greater value in holding or divesting. We will continuously look at our portfolio for those opportunities. I won't comment directly on anything in either the LPG side or the natural gas side. But looking at portfolio optimization continues to be one of the things that we will always consider. What I think really drives the value in this company for the next several years as we have just a lot of opportunities for intrinsic value growth. That's low risk, high return things that I'd love to find and you'll hear from Mike a little bit more this morning on what we're doing at AmeriGas, but I see that across our portfolio, these opportunities to really drive our growth rates that Sean was talking about by driving intrinsic value.
Operator: Our next question comes from Julien Dumoulin-Smith with Jefferies.
Julien Dumoulin-Smith: Can you guys hear me okay? So maybe just a follow-up on a few of these things. First off, look, I just wanted to understand a little bit more about the AmeriGas targets here. I mean how do you think about getting to that sub 4x. And specifically, is that deleveraging? Or is that principally going to be underlying adjusted EBITDA improvement? And how do you think about the time line to get there at those sub 4x target?
Robert Flexon: Well, I'll go first, and I'll let Mike chirp in. But AmeriGas has a lot of opportunities to really drive value. And we're going to grow the AmeriGas business by winning business. We're not going to go out and buy business. But a lot of the things that Mike and team are working on have just outstanding returns. And if I think things like routing and delivery, the kind of work that Mike and his team is doing there. When you look at the NPV or something like that, it goes according to my math, in triple digits. You're talking $100-plus million NPV on that type of work because we're driving efficiencies in the business and the work Mike and team are doing in these other work streams is just going to have AmeriGas growing throughout that time period. I'll let Mike maybe comment a little bit more of what's going on in AmeriGas since it's his first call since joining about a year ago when I joined and Mike and I have a history going backwards, and I knew he was the right person to drive the improvements in AmeriGas that we're seeing.
Michael Sharp: Thank you, Bob. Julien, as Bob said, there's a tremendous amount of intrinsic value here at AmeriGas, right? And to unlock that value, we have the 6 PMO projects that are in progress right now at various stages from supply to around the delivery, customer value proposition, billing. So a number of initiatives, again, that we're seeing -- already seeing the results or the fruits from those projects. So really successfully executing those projects. And we have a number of other projects that we don't advertise outside the PMO, which are also creating -- will create -- creating tremendous intrinsic value. So a lot of effort around there. As Sean mentioned, we had a 70% EBIT growth last year. We foresee this year being in that ballpark, right, the same ballpark. And then going forward, there's additional value going forward. But this isn't a onetime thing. It's an ongoing thing. There's a lot of improvement at AmeriGas. I think anyone this call, it's not a secret that the last several years here at AmeriGas has been difficult but we have stabilized the business, right? So 17% growth in EBIT. Our volumes are virtually flat this year, which is the first time this has happened in 5 years. It's been a sustained decline. So we flattened volumes and then getting all these things right, as Bob says, is there's just a tremendous amount of intrinsic value growth ahead of us.
Sean O’Brien: Julien, maybe to answer that last question, I'm just going to add on real quick. So this year, we went from a leverage ratio of about 6 when you look back coming into the year to 4.9, which we're incredibly proud of. That happened in 2 ways. Mike and the team grew EBIT $24 million, 17%. Obviously, that has a positive impact. And we delevered another $200 million, came into the year with about $1.9 billion of debt exited the year close to $1.7 billion. And you were asking in the future, where do we see that going? I'm pretty confident you're going to see us in '26 start to approach or even beat a 4.5 leverage rate in AmeriGas, somewhere in that range, maybe even a little lower, and that's going to come in the same way. We're continuing to delever a little bit more. And as Bob and Mike said, we're expecting low double-digit growth out of AmeriGas in '26. So more of the same and it'll be a pretty impressive day when that leverage rate is sub-4.5.
Julien Dumoulin-Smith: Excellent. And then just following up a little bit on the credits and the reset here with '26 here a little bit. Can you speak a little bit more to just the consistency ex credits and just confirm effectively that going forward, you don't have any kind of onetime tax credit items that will roll off or what have you. I just want to make sure that we're abundantly transparent on the same page about this.
Sean O’Brien: Yes. Yes. I think -- and I think you've got it pretty right. I mean, there's OB3. I'll start with OB3, it's the smaller of the 2. We lost interest deductibility at AmeriGas. So there was about $0.10 in the numbers this year that related to '24 and '23. So those are hits we took in 2024 and 2023, they will not be ongoing. So there's no more detriment or benefit, right? We were just recouping some hits we took on our interest deductibility. And then the other big one, and I think you picked up on it, Julien, is the ITCs. The bulk of our RNG projects went into service this year. This was all anticipated. We optimized it a little bit, but the bulk of the projects went into service. That was very large. We talked about $0.40 of positive impact. So that kind of timing is out of the forecast. We have no expectations going forward on any ITCs, although we do have -- and we've been clear, we have about $0.09 of PTCs in the ongoing forecast so much lower level. So OB3 out of the picture and then the timing of the ITC is essentially out of the picture, you're seeing a very normalized run rate as you think about '26 through '29 coming out of the company.
Julien Dumoulin-Smith: Awesome. And then lastly, the shift in CapEx relative to the $200 million increase in shareholder return, is that meant to be a reduction in utility CapEx and then an increase in dividends or pivot towards midstream CapEx. I know a lot of different moving things, but just super quick, if you can.
Sean O’Brien: Yes. I mean, Julien, the way I look at it, the utility CapEx, and I know you're comparing to a prior plan, I see it pretty consistent, maybe even slightly up. So we can go off-line with you. But we pulled back a little bit in '23. But when you look at '24 through '27 and including '28 and '29, we're actually growing the utility CapEx a little bit. So we feel really confident there. One thing I'll say on that is we're a few miles away from completing our cast iron program. So that's a pretty big milestone for the team. You do see a little more midstream capital coming into the equation, and I think you've picked up on our commitment to the dividend in the out years as well. So I think you've got a model pretty quickly, but pretty accurately. But we do see the utility capital at or above the levels that we would have had, I think the last time I gave guidance on that.
Operator: Our next question comes from Paul Fremont with Ladenburg Thalmann.
Paul Fremont: I just wanted to sort of follow up on the 45Z credits, is the first year that you're going to be collecting that in '26? Or did you collect any in '25?
Robert Flexon: It will be '26 will be the first time.
Paul Fremont: And then the other question I have is, were you using sort of a negative credit score to calculate the 45Z credits going forward?
Robert Flexon: Yes. Not sure about that one. We'll need to get back to you on that.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Bob Flexon for closing remarks.
Robert Flexon: Well, thank you for dialing in. And just to reiterate, on our year, we had a very strong fiscal year '25, adjusted EPS $3.32, record earnings for us. Really love seeing the EBIT growth of 17%. Our leverage getting back in line and, of course, the TSR to our shareholders of 42%. So a great year for us. We continue to be focused very much on our operations across the board. We've got great progress in AmeriGas leading the way on improvement. So that's going to be driving our growth in these future years. Talent management, we've got new people in the right spots and combined with the existing workforce, we've got the right people to bring this forward. So I really look forward to more discussions with you in the future. We'll see a lot of intrinsic growth, we'll be capitalizing on what's happening in Pennsylvania with the data center investments and the future looks very bright for us. So with that, thank you very much for your time, and we'll be speaking to you more in the future. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.